Operator: Good day, ladies and gentlemen, and welcome to the Q1 2015 South Jersey Industries Earnings Conference Call. My name is Whitley, and I’ll be your operator for today. At this time all participants are in listen-only mode. And later we will conduct a question-and-answer session. [Operator Instructions]. I would now like to turn the conference over to your host for today, Ms. Ann Anthony, Treasurer. Please proceed.
Ann Anthony: Thank you, and good morning. Welcome to the conference call for SJI’s first quarter fiscal 2015 results. I’m Ann Anthony, Treasurer of South Jersey Industries. And I’m joined today by members of our senior management team, including Mike Renna, President and COO of SJI; Steve Clark, our CFO; Jeff DuBois, President of South Jersey Gas; and Marissa Travaline, General Manager of Investor Relations. As you may know, we issued a news release this morning announcing the results we will be discussing on the call today. That release includes an in-depth review of earnings on both a non-GAAP and GAAP basis using our non-GAAP measure of Economic Earnings. This measure eliminates all unrealized gains and losses on commodity and on the ineffective portion of interest rate derivative transactions. It also adjusts for realized gains and losses attributed to hedges on inventory transactions and for the impact of transactions or contractual arrangements where the true economic impact will be realized in a future period. The news release is currently available on our website at www.sjindustries.com, in the Newsroom section. Throughout today’s call, we will be making references to future expectations, plans and opportunities for South Jersey Industries. These remarks constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual future results may differ materially from those indicated by these statements as a result of various important factors, including those discussed in the company’s Form 10-K on file with the SEC. We assume no duty to update today’s statements should actual events differ from expectations. With that said, I’d like to turn the call over to our CFO, Steve Clark to present our first quarter 2015 results.
Steve Clark: Thank you, Ann, good morning to everyone on the call and thanks for joining us. As we usually do, today, we will discuss results in the context of two main segments of our business: utility results from South Jersey Gas and non-utility results from South Jersey Energy Solutions. Within South Jersey Energy Solutions we will also detail contributions from our primary business lines, South Jersey Energy Services and South Jersey Energy Group. The measure we use to assess SGI’s performance across each of our business lines is Economic Earnings. First the first three months of 2015 Economic Earnings totaled $58.9 million as compared to $66.2 million in the first quarter for prior year. Economic earnings per share for the quarter were $0.86 as compared with $1.01 in the prior year period. Both of these numbers have also been adjusted to reflect the impacts of the 2-for-1 stock split that occurred this morning. We’ll review the quarterly performance and the prospects for each business line in a bit more detail throughout the call beginning with first quarter utility results. South Jersey Gas’ net income for the first quarter 2015 was up over 13% at $42.6 million as compared with $37.7 million in 2014. The increase in REIT base that took effect October 1, coupled with the significant customer growth we’ve experience over the last year drove contributions for the quarter. In the first quarter we added over 2,100 customers, 1,400 of which came from conversions. This level of customer growth is expected to continue supported by the compelling economics for the use of natural gas as a heating fuel as it can still save customers roughly 40% to 70% when compared to the cost of using oil propane or electric heating. And as we noted in our release, the annualized value of our year-over-year customer growth is approximately $1.7 million. Investments within our accelerated infrastructure replacement and system hardening programs also continue driving the regulated utilities contribution to the bottom line. Investments in the first quarter through our two tracker programs, the AIRP, which replaces aging bare steel and cast-iron in our system and the SHARP, which replaces low-pressure main with high-pressure main specifically along the barrier islands in our service territory totaled $12 million. Accelerated infrastructure investments added $1.7 million incremental net income for the first quarter of 2015 as compared to the same period in the prior year. In total, we expect these programs to contribute $5.8 million in 2015, an increase of $2.5 million over the 2014 total contribution. Now we’ll move over to the non-utility side of our business. The two business lines producing our non-utility results are South Jersey Energy Group and South Jersey Energy Services. Energy Group reflects our activities related to the supply, storage and transportation of natural gas in and around the Marcellus and our retail marketing of electric and natural gas in the mid-Atlantic and Northeast. Energy Services largely reflects our energy production assets within Marina Energy and our energy joint venture Energenic. In the first quarter, our non-utility businesses added economic earnings of $16.3 million as compared with $28.5 million in 2014. The quarter benefited from solid performance from our wholesale and retail commodity marketing businesses and from our operating energy production assets. Despite the absence of optimization that strongly benefited Q1 2014 performance, our non-utility businesses delivered stronger than expected performance that provides a baseline for us to continue building on in future periods. Beginning with South Jersey Energy Services, this part of our business reflected an economic earnings contribution of $8.6 million for the quarter as compared with $10.3 million for the first quarter of 2014. These results reflect the contributions of our energy production portfolio which include CHP, solar, and landfill generation. And I’ll provide some detail as to how each of these helped to shape the quarter. Our CHP Thermal business line produced economic earnings of $2 million for the first quarter of 2015 as compared to income of $3.3 million for the same period last year. The main impacts on CHP performance year-over-year were the absence of significant optimization provided by last year’s price volatility in the first quarter and the impact of the Revel situation. Excluding Revel, the balance of this portfolio performed consistently on a weather adjusted basis as this winter did not produce the same extreme pricing volatility as in the prior year. Ultimately we expect this area to continue being a steady and positive contributor to economic earnings, once we can move past the uncertainty associated with the energy facility we own in the former Revel casino property. As recently as yesterday, formal discussion continued regarding the future of the former Revel property and ultimately the possible contributions from our ACR facility. We remain an active party to ongoing discussions and we maintain cautiously optimistic regarding the future of the facility. We are committed to working with other stakeholders to help ensure the property’s longevity in the Atlantic City landscape. Moving over to solar, this area of the business contributed $7.9 million for the first quarter of 2015 as compared with $7.8 million for the same period in 2014. Of this total $10.2 million was associated with investment tax credits for project development in the first quarter of 2015 as compared with $10.5 million of ITC in the first quarter of 2014. As these numbers demonstrate, we did see a $400,000 improvement in earnings contribution and solar operating performance, as an additional 21 megawatts of capacity were added since the first quarter of 2014 and our weighted average SREC sales price increased along with spot pricing. While SREC production overall was hindered by significant snow and cloud cover across the Northeast during the first quarter, it is expected to recover with improving weather conditions and we expect to achieve our targeted production for the year of over 138,000 SRECs. For the first quarter of 2015, our landfills produced a loss totaling $1.4 million as compared with a loss of $900,000 in the prior year period. As these assets continue to under-perform, we are focused on increasing productivity of our most problematic sites with several key initiatives implemented recently. Remaining sites could benefit greatly from legislation pending a vote in New Jersey that would establish renewable energy credits associated with the output from landfill electric generation. However, in the meantime we continue seeking alternatives to reduce the drag these facilities have had on earnings for the last several years. Turning over to the commodity segment of our business. We reported a highly profitable first quarter in 2015. Economic earnings for the quarter totaled $7.8 million in 2015 however the year-over-year comparison is a difficult one as we reported economic earnings of $18.2 million in the first quarter of 2014. You will recall that in 2014 we benefited from multiple periods of cold that rode natural gas spot prices to record levels, north of $100 per decatherm. While we did experience below-normal temperatures this winter, we did not see the same level of extreme gas pricing this year. I’ll leave it to Mike to talk about what’s ahead of us, but I do want to note that even without duplicating our Q1 2014, we anticipate similar full-year results for our commodity business as we achieved in 2014. With the declining drag from less profitable legacy marketing contracts that began rolling off at the end of March, we expect significant contribution improvements from this business in the second and third quarters of 2015 as compared to the same quarters of 2014. I’d also like to note the contributions in two active fuel management contracts in Q1. This will be an increasingly significant part of the story in the future as more contracts come online. Finally, I’ll provide a quick update on the balance sheet. Our equity-to-cap ratio was 43% at the end of this first quarter, as compared to 45% at March 31, 2014. As we noted in last quarter’s call, deferred cost associated with last winter’s higher natural gas cost combined with higher receivable levels associated with the cold this winter, and infrastructure on project investments, together they drove higher debt levels. While we do expect to use dividend reinvestment plan to issue equity in 2015, our target is projected to fall below the 2014 total of $80 million. Additionally, the company has approximately $300 million of tax -- deferred tax benefits related to our investments that we expect to realize between now and 2021, which will also serve to support the balance sheet as those benefits are realized. At this time, I’ll turn the call over to Mike to discuss the forward view for our business.
Mike Renna: Thanks Steve, and good morning. I’d like to begin by discussing the guidance we provided today in conjunction with our first quarter results, which targets full-year growth and economic earnings per share of 2% to 8% in 2015. While I recognize that this is a broad range, it is largely the results of the current uncertainty around the future of ACR and any potential agreement to serve rental. And the responsibility we have to provide guidance that reflects this uncertainty. With that said, we are committed to moving forward with a model emphasizing our regulated business and those areas of our non-regulated businesses, where we have a demonstrated ability to compete and succeed. Our focus for 2015 remains utility customer growth through infrastructure investment and growing our non-utility commodity marketing and energy production businesses. With natural gas still presenting a competitive cost advantage even in the phase of declining oil prices, we expect to improve upon the record conversion activity we saw in 2014. Total utility infrastructure investment in 2015 is projected to top $230 million with our normal capital spend complimented by our SHARP and AIRP initiatives. In addition to strong margins in our commodity business, 2015 will also bring the commencement of two additional fuel management contracts at the Panda Liberty and Panda Patriot plants in Pennsylvania. These new facilities will add to the benefits from our longstanding agreement with the next Yura facility and the more recent edition of LS Power. Beyond these things, I’m extremely confident in the long term potential for SJI as we establish the operation -- as we establish the operation of a natural gas liquefier at our McKee City facility to help minimize price volatility for our customers and advance our progress on the development of a natural gas pipeline to enhance system reliability and serve the B.L. England facility, and work with our partners to bring the vital PennEast Pipeline to market. When coupled with the benefits of customer growth, utility infrastructure investments and contributions from seven fuel supply management contracts, we’ve already executed, plus those we expect to add over the next two to three years, I’m confident in the prospects for future success that these initiatives will help drive. One key part of our longer term growth is our 20% ownership interest in the 1 bcf PennEast Pipeline. This fully subscribed pipeline is being driven by climates [ph] of more than 800,000 decatherms from recent utilities and utility affiliates, and has the potential to provide at least 10% of the SJI economic earnings in 2018 when it is expected to be fully in service. This opportunity layers nicely increasing values on our successfully operating CHP assets and the ability to expand and optimize our wholesale and retail commodity businesses. Wholesale in particular is an area poised for accelerated growth as legacy contracts expire, and the capacity we’ve acquired over the past few years increases in value. We remain committed to maintaining the agility in our business that allows us to not only maximize our core utility investments but also drives shareholder value from opportunities in energy production, fuel supply management, midstream investments and retail commodity services. As I said before, the foundation that we’ve built over the last 10 years from our business will help ensure that our long-term growth and profitability are not compromised by short-term challenges. Thanks. And now I’ll turn the call back to the operator for Q&A.
Operator:
Mike Renna: If there are no other questions at this time, no questions, I would remind you as always, please feel free to contact Marissa Travaline, our General Manager of Investor Relations or Ann Anthony, Treasurer for any follow-up on the items we’ve discussed today. Marissa can be reached at 609-561-9000 extension 4227 or by e-mail at mtraveline@sjindustries.com. Ann can be reached at extension 4143 or by e-mail at aanthony@sjindustries.com. Again, thank you joining us today.
Operator: Ladies and gentlemen that concludes today’s conference. Thank you for your participation. You may now disconnect. Have a great day.